Operator: Good morning and welcome to Whirlpool Corporation’s First Quarter 2018 Earnings Release Call. Today’s call is being recorded. For opening remarks and introductions, I would like to turn the call over to Senior Director of Investor Relations, Max Tunnicliff.
Max Tunnicliff: Thank you and welcome to our first quarter 2018 conference call. Joining me today are Marc Bitzer, our Chief Executive Officer and Jim Peters, our Chief Financial Officer. Our remarks today track with the presentation available on the Investors section of our website at whirlpool.com. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements to assist you in understanding Whirlpool Corporation’s future expectations. Our actual results could differ materially from these statements due to many factors discussed in our latest 10-K and our other periodic reports. We want to remind you that today’s presentation includes non-GAAP measures. We believe these measures are important indicators of our operations as they exclude items that may not be indicative of or are unrelated to results from our ongoing business operations. We also think the adjusted measures will provide you with a better baseline for analyzing trends in our ongoing business. Listeners are directed to the supplemental information package posted on the Investor Relations section of our website for the reconciliation of non-GAAP items to the most directly comparable GAAP measures. As a reminder, effective January 1 of this year, we are reporting and guiding segment results as earnings before interest and taxes. In addition, our segment results reflect the Mexico business as part of the Latin America segment and certain adjacent businesses that have been moved from the North America segment to the Asia segment. At this time, all participants are in listen-only mode. Following our prepared remarks, the call will be opened for analyst questions. As a reminder, we ask that participants ask no more than two questions. With that, let me turn the call over to Marc.
Marc Bitzer: Well, thanks and good morning everyone. Before we discuss our first quarter results, I would like to discuss the announcements we made earlier this morning following the close of the Tokyo market and board approval. We take pride in our strong global portfolio of consumer brands and Embraco was essentially our only B2B business and we made the strategic decision to focus our investments on growing our consumer-facing businesses. Persistent with the strategy, earlier today, we announced agreement to sell our Embraco compressor business unit for approximately $1.1 billion in cash. Embraco is a leading global manufacturer of refrigeration compressors, which is currently reported as part of our Latin America segment. And in 2017, Embraco contributed approximately $1.3 billion in sales as margins approximating the segment average. The deal is expected to close in early 2019 subject to regulatory approvals. Based on the anticipated closing date, the deal is not expected to have material impact on our 2018 financial results. However, we have secured financing in an amount similar to the anticipated net proceeds from the transaction, which we intend to use to significantly increase share repurchases in the second quarter through a modified Dutch auction tender offer targeting $1 billion. The impact of this tender offer is not reflected in the guidance we issued last night. After this Embraco announcement, let me now comment on our first quarter results in Slide 3. As you saw in our press release, we delivered record first quarter ongoing earnings per share of $2.81 in line with our expectations. We also delivered year-over-year improvement in EBIT dollars after six quarters of pressure on our EBIT margins driven by positive global price mix and the successful implementation of our previously announced cost-based pricing actions. We also completed the actions related to our fixed cost reduction initiative during the quarter and expect to continue realizing the benefits of these actions throughout 2018. In addition to solid global results, we are very pleased with our margin expansion on North America regions despite significant raw material inflation. These results give us continued confidence in the strength of our overall business and the reflection of this confidence and consistent with our balanced approach of capital allocation, we have increased our quarterly dividend for the sixth consecutive year. Turning to Slide 4, we show our first quarter financial results and full year 2018 guidance. We delivered revenue growth of 2.6% during the quarter. Ongoing EBIT margins were 6.0% for the quarter approximately flat to the prior year as positive price mix offset 150 basis points impact from raw material inflation. Finally, our first quarter free cash flow was impacted by the timing of certain payments and accrued compared to the prior year. We expect those impacts to be temporary and remain committed to our full year free cash flow guidance. On Slide 5, we show the drivers of our first quarter margin performance. During the quarter, we began to realize the benefits of a cost-based price increase we announced in late 2017 contributing to strong global price mix positive in three out of four regions. I will discuss price mix further on the next slide. Raw material inflation was significant year-over-year headwind impacting our margins by 150 basis points. We delivered positive cost productivity in line with expectations and our fixed cost reduction actions more than offset increased marketing technology investments in the quarter. Turning to Slide 6, we show our price mix performance in more detail. In total, first quarter price mix improved by approximately 100 basis point compared to the prior year period. Throughout the world, we realized the benefits of a cost-based price increase we implemented over last two quarters. In North America, our U.S. kitchen actions were implemented in January and as a result we drove strong sequential improvement to price mix throughout the quarter. In Europe, in addition to our previously announced cost-based price increases we implemented a strategic reduction of certain private label volumes, which will drive positive mix for the remainder of the year. In Latin America, price mix was favorable as a result of new product launches in addition to our previously announced cost-based price increases. In Asia, our overall price mix was flat. China performed well and planned distribution expansion efforts negatively impacted India’s mix in the quarter. Overall, we are pleased with our progress in price mix and expect these benefits to continue. With that, I would like to turn over to Jim to review our regional results.
Jim Peters: Thanks, Marc and good morning everyone. Turning to Slide 8, we reviewed the first quarter results for our North America region. Net sales were $2.5 billion, an increase of 3%. We also drove unit volume growth in our core appliance business, which was partially offset by softer volumes in Canada and certain adjacent businesses. Margins improved 20 basis points to 11.4% consistent with our expectations. We delivered this margin expansion through favorable price mix and fixed cost takeout more than offsetting a 100 basis point impact from raw material inflation. Of note earlier this month, we began to implement previously announced cost-based price increases in our U.S. laundry business. We expect these actions to drive additional price mix benefits during the remainder of the year. In summary, we are pleased with the North America performance in the first quarter and continue to expect strong results throughout the rest of 2018 in line with our guidance. Turning to Slide 9, we reviewed the first quarter results for our Europe, Middle East and Africa region. Net sales were $1.1 billion. EBIT declined versus the prior year as positive price mix was more than offset by unit volume declines, currency headwinds and significant raw material inflation. In total, raw material inflation impacted margins by $25 million or 225 basis points. During the quarter, we took a number of steps to improve our business. First, we renegotiated a number of unfavorable trade customer agreements to better align with our strategic goals and the timing of these negotiations had an impact on first quarter shipments. We completed these negotiations at the end of March and expect to recover volume in the second half as we regained retail flooring. Second, consistent with our efforts to streamline our business and focus on improving profitability, we executed a targeted reduction of certain private label volume. As a result of our proactive strategic actions in the region, we continue to expect to deliver our full year EBIT guidance of approximately 2%. Turning to Slide 10, we review the first quarter results for our Latin American region. Net sales were $898 million. We delivered EBIT of $57 million and margins were 6.3%. Our home appliance business performed well both inside and outside of Brazil driving favorable price mix and benefiting from new product launches. We drove solid appliance results despite soft industry demand on washers and refrigerators. Our global compressor business results were soft due to weak global demand, raw material inflation and inefficiencies related to the planned Italy plant closure. For the region, raw material inflation impacted EBIT by approximately $15 million or 150 basis points. Finally, during the quarter, we realized a $22 million favorable impact in the monetization of certain tax credits in Brazil, which was partially offset by a $17 million unfavorable impact from foreign exchange hedges. Overall, we expect the region to expand margins as industry demand improves through the year. We now turn to the first quarter results for our Asia region which are shown on Slide 11. Net sales were $448 million, an increase of 3% versus the prior year. We delivered EBIT of $19 million, a $7 million sequential improvement versus the fourth quarter of 2017. Our EBIT was impacted by raw material inflation of $10 million, which impacted margins by 200 basis points. Additionally, currency unfavorably impacted margins by approximately $5 million. Our business in India continues to deliver strong growth of both unit volume and revenue as we drive share gains through distribution expansion and new product introduction. As Marc mentioned earlier, price mix in India was slightly unfavorable as the benefits of our previously announced cost-based price increase were more than offset by mix impacts related to the distribution growth. We expect our India business to continue growing at a strong pace. In China, we delivered strong sequential improvement to EBIT. Our actions to improve price mix and focus on profitability were effective despite continued raw material inflation. Now, I’d like to turn it back over to Marc to review our guidance.
Marc Bitzer: Thanks, Jim. And turning to Slide 13, we review our guidance assumptions for 2018. We now expect growth of approximately 1% driven primarily by temporary volume weakness in Europe and soft global compressor demand. We continue to expect growth in North America and overall positive global price mix. We continue to expect to deliver ongoing EBIT margin of approximately 7.5% for the year. I will update – as discussed, we updated drivers of our EBIT margin guidance on the next slide. Finally, we now expect our full year tax rate to be approximately 20% as shown in our first quarter ongoing results. Jim will provide additional color in our current tax rate assumptions later in the call. We continue to expect to deliver ongoing earnings of $14.50 to $15.50 per share and we expect our first half year earnings pacing to be consistent with historical earnings pacing. As a reminder, our guidance is not inclusive of a tender offer we intend to exclude later in the second quarter. Turning to Slide 14, we show the updated drivers of our EBIT margin guidance. We now expect to deliver at least $275 million of net benefit from improved price mix. This includes the benefits of our previously implemented actions in addition to our recently announced cost-based price increase in our U.S. laundry business. Over the last few months, raw material costs have risen substantially and as a result we are revising our raw material inflation guidance for 2018 by approximately $50 million to a range of $250 million to $300 million primarily due to previously announced U.S. tariffs on steel and aluminum. In addition to existing steel and aluminum tariffs, there continues to be uncertainty regarding potential future tariffs and trade actions. We will continue to monitor, evaluate and take the right actions for our business in these areas. Now, Jim will cover our regional guidance and our cash priorities.
Jim Peters: Thanks, Marc. On Slide 15, we show our regional industry and EBIT margin guidance. Our regional industry expectations are unchanged and we continue to believe that the global appliance industry is well-positioned for growth. In North America, we continue to expect to deliver at least 12% margin. The benefits of our recently announced cost-based price increases in our U.S. laundry business are expected to be partially offset by increasing raw material costs. In EMEA, we continue to expect to deliver approximately 2% EBIT margin. We expect improvements throughout the year especially in the second half as our final factory move is completed by July and volumes improved following trade customer negotiations in the first quarter. In Latin America, we continue to expect EBIT margin of approximately 7% as the compressor weakness we experienced in Q1 subsides and we continue to benefit from favorable price mix and cost takeout in the appliance business. Finally, we continue to expect to deliver approximately 5% margin in Asia, but continued strong performance in India and improved price mix and cost takeout in China. Before we get to our free cash flow guidance, I would like to provide some additional color on our tax rate assumptions. As Marc mentioned, we are revising our tax rate guidance to approximately 20%. As we said last quarter, there continues to be potential for changes through provisions of the Tax Cuts and Jobs Act and other legislative actions. Although we do not expect the rate to be lower than our current guidance, we will continue to assess and provided updates throughout the year as necessary. Turning to Slide 16, we review our free cash flow guidance for 2018. Overall, we continue to expect to deliver $1 billion to $1.1 billion this year. We continue to expect higher cash earnings year-over-year. We remain focused on reducing inventory to drive working capital improvement this year. In total, we continue to expect to drive significantly higher free cash flow this year and achieve our cash conversion goal. Turning to Slide 17, we show our capital allocation priorities for 2018. We remain committed to our balanced approach to capital allocation. We raised our quarterly dividend for the sixth consecutive year, which is a reflection of our confidence in the business. Early this morning as Marc mentioned, we announced the planned sale of our Embraco compressor business unit. In light of the related deal negotiations we temporarily paused our share repurchase program during the first quarter. We have secured financing of an amount similar to the transaction amount and we intend to execute a modified Dutch auction tender offer of up to $1 billion under our current share repurchase authorization with an anticipated purchase price not less than $150 per share and not more than $170 per share subject to market conditions. Following the completion of the tender offer, we intend to continue repurchasing shares on the open market in the second half of 2018. Overall, we remain committed to returning strong levels of cash to shareholders this year. Now, we will end our formal remarks and open it up for questions.
Operator: [Operator Instructions] We will take our first question from Sam Darkatsh of Raymond James.
Sam Darkatsh: Good morning, Marc. God morning, Jim. How are you?
Marc Bitzer: Good morning, Sam.
Sam Darkatsh: Two questions. First off, with respect to the guidance and recognizing it’s excluding the accretive effects of the Dutch auction, if I look at your individual line items it would seem as though you should be raising guidance, so it looks like your tax rate incrementally might be a $1 benefit, pricing might be an incremental $0.50 benefit, then this is offset by raw material inflation of $0.50 and offset by global volumes of $0.30, that comes to $0.70 all-in unless I am missing something material. So, why wouldn’t you raise your guidance range for the year to reflect that or at least the midpoint?
Marc Bitzer: Sam, let me maybe take that and Jim can add to this one. So, first of all, stepping back also in Q1 we would say our business is on track and we told you in January we talked about the pricing actions, we talked about fixed cost actions. We delivered on both these big parameters and we delivered an all-time record Q1, which – but gives us the confidence our business is on track. I do agree with you, but if you take the individual components you come to the high-end or even above our margin guidance, at the same time and we alluded to this one in the script, there are still some aggregate risks out there in the form of – there is still uncertainty about what happens this tariffs so-called Section 301. There is still a little bit uncertainty out there on tax rates. So there are still some aggregate risks and that’s why we kind of at this point we wouldn’t raise the guide, but having said that, we are highly confident in the business, but actions are on track and in a certain way, you also got to look at the tender auction as we feel very confident of our business. That’s why we grow up with a very significant buyback of our shares.
Sam Darkatsh: Which leads me to my second question why the modified Dutch, clearly if it’s under $150 that’s even more attractive to buy the stock and then over $170 you spent most of 2017 buying the stock at or above $170, so why even bother with the range?
Jim Peters: Yes. So, Sam this is Jim. We looked at the different mechanisms and we believe that the modified Dutch tender offer is the most efficient and effective way to repurchase the large amount of shares very quickly in the market. It’s beneficial to both us and the shareholders in the way that we do it. And again, it sets the price, it was pretty close to today’s trading price and then with a range on it that we feel as will be effective in terms of achieving what we want to achieve from a capital allocation perspective.
Sam Darkatsh: Okay, thank you.
Marc Bitzer: Thanks, Sam.
Operator: And we will take our next question from Michael Rehaut of JPMorgan.
Michael Rehaut: Thanks. Good morning, everyone. First question just to talk a little bit about margins and margin guidance for the year, I guess another way some people might be looking at the guidance with some of the math in terms of the share repurchase in that let’s say $0.70 movement when you exclude the reduction from lower sales. Some people are focusing on the fact that your margins by region are approximately and to the extent that you are truly still looking at the midpoint and working off of that math that the approximately of the different regional margin guidance could now be kind of at the lower end of a range to the extent that when you say roughly 7% or roughly 2% for Europe, that implies somewhat of a little bit of movement or cushion within that number? So, in response to that, Marc, you just kind of said if you do the math you could get to the higher end of the range, it is early in the year, but given for example that Europe is starting off a little bit more in the whole than we were expecting, for example, is that a fair way to look at it as well that perhaps some of these margin ranges are coming in perhaps a little bit at the lower end or are you really saying that you are likely to be at the upper end of the $14.50 to $15.50 range?
Marc Bitzer: Yes, Michael, it’s Marc. First of all, as I have said earlier, I would rob a point to broader global aggregate risk again as the biggest one still buries the uncertainty about raw material even though I mentioned the Section 301 which is more North America topic, but in reality, raw material weighs pretty heavily in all parts of our regional business – our global businesses. So, I think that’s the prime reason why we still on see certain factors out there, certain risk element. At the same time are also very transparent there is also some upside opportunities, which we want to see how that plays out throughout the year. So, yes – and again I can only repeat to what I said with them, you take the components of which we are pretty highly confident you probably come to a higher part of the range, but at this point and early in the year, there is uncertainties out there, we don’t want to raise the guidance.
Michael Rehaut: Okay. No, I appreciate that. I guess just secondly I believe you mentioned earlier in the script that the first half earnings or EPS would approximate what you have done in the past and just some quick math it looks like the last 2 years you can take a range and the numbers – the numbers can vary, but just over the last 2 years, it looks like the first half EPS was around in a 42%, 43% which would place 2Q EPS around 3.50 if you were using the midpoint of the full year guidance. Just wanted to make sure that math is right and that’s kind of what you are effectively saying about 2Q?
Jim Peters: Yes. I mean, Michael and obviously we don’t give specific quarterly guidance, but you as I said on the last call is we do believe the first half of the year to be in line with prior years. And even if you look at the last 2 years or you look over a larger window over the last 5 to 6 years, you are in the low to mid 40s range there so in the percentage that you are talking about. And as we said, we expect to be around that percentage in terms of seasonality of earnings for this year very similar to the last 5 years.
Marc Bitzer: And just to clarify, but it’s not misunderstood and Jim referred to similar to last year, we of course talk about the dispersion of profits we delivered in Q1 $0.30 above last year and you know what our full year guidance is and I would say Q2 is directionally along the same trends.
Operator: Our next question is from David MacGregor of Longbow Research.
David MacGregor: Yes. Good morning.
Marc Bitzer: Hi, David.
David MacGregor: I wonder if we could just talk about pricing in North America and you referenced the kitchen price increase that began in the first quarter. I guess, the question would be is there more to come from that particular price increase in 2Q kind of maybe comment about where you were on a exit basis at the end of the quarter in terms of traction and just how much more upside there could be to that? And then also on pricing, I guess what are you assuming within the 1% guidance for North American price mix?
Marc Bitzer: David, it’s Marc. So, first of all, on the North America pricing and I can’t comment on forward pricing, but I can comment about what we already announced. Obviously in January, you felt pricing we started implementing and executing with price increase in the kitchen side and we – as you also know we announced the laundry pricing, which is kind of in effect as of April 10 or April 7 which of course we do expect to have a material positive impact on Q2 going forward. Now, one thing which we also communicated and met no new news we – I would say on the kitchen side, what we are seeing as pause in Q1 is not necessarily the end of the road. What I mean with that is we have introduced and are introducing a major new kitchen suite for Whirlpool brand and that’s only now ramping up. That’s a great innovative product and it gives us quite a bit of mixed opportunities and that’s of course gives us further confidence that we get the pricing what we have in mind.
David MacGregor: The kitchen price increase actually got traction fairly late in the quarter I believe. So, it would suggest that there is maybe more upside there, it just seems given the magnitude of the kitchen or the laundry tariffs combined with what you are doing in kitchen that you maybe being very cautious in terms of your price mix?
Marc Bitzer: And again, David, just – so don’t take, first of all, we don’t give regional PMR guidance, we have given the company guidance. Having said that, you are correct, I mean, Q1 PMR in North America is not reflective of what we would expect on a full year, but we also recognized we are living in a highly competitive environment, but we are very confident behind the actions we have taken.
David MacGregor: Okay. Just follow-up question on Europe, I guess inflection point is really what I am trying to get to, are we going to see an inflection in the second quarter or I know Jim had talked a little bit about some manufacturing things that are going on in 3Q. It just seems like to get it to a 2% number for the full year you got to kind of get to a 2% number in the second quarter. Am I thinking about that the right way?
Jim Peters: Yes, David. I will start and then Marc can kind of add some commentary if he wants to it. I think you should expect it to the inflection point more closer to midyear. You know as I mentioned with some of the trade partner renegotiations we have done, we will begin gaining back some floor spots within the second quarter and expect the volumes to recover in the second half of the year additionally with previously announced cost-based pricing actions that we have taken and the cost takeout that we have done at this point in time there being more than offset by raw material inflation. So, we expect to see that through the second quarter, but then the volumes to pickup in the third quarter and that’s where the inflection point should be around midyear.
Marc Bitzer: And David just to add to Jim’s point, of course we don’t like wherever European business is and we all have a different expectation. At the same time, we didn’t change the full year guidance. If you want to look at any positive in the European business in Q1, it is the underlying pricing actually has been very significantly positive. So, we took strong pricing actions. And despite the significant volume drop which as you know typically hurts you a lot from a production base, we still had a positive cost takeout, so kind of take the core business, deposit pricing cost that gives you at least a little bit of more promising sign. At the same time and what Jim mentioned is at the end of the day over the last 1.5 years of our integration challenges, supply chain challenges, we lost a lot of floor spots and we are slowly regaining them, every month just a little bit better, but it’s – I would more expect it towards the midpoint of the year, but we see regional inflection points.
Operator: Our next question is from Susan Maklari of Credit Suisse.
Susan Maklari: Thank you. Good morning.
Marc Bitzer: Good morning.
Susan Maklari: First question is around the cost-cutting and the benefits that you are clearly starting to see from the actions you took last year. I guess can you just give us a bit of an update on where that stands? And then as we think about inflation to continuing to come through how much more can you do there and may be if there is any geographical differences that we should be thinking about with that?
Marc Bitzer: Susan, it’s Marc. So, first of all, also stepping back, but the fixed cost reduction which we referred to, that is our $150 million net fixed cost reduction, which is in addition to ongoing cost productivity efforts. On the fixed cost reduction, we mentioned that already in January, we did already or initiated lot of actions in Q4 and I would say pretty much completed most actions by kind of end of February in Q1. So, what you see in the Q1 numbers is part of that effect, but not in full effect, but very important thing is such the actions have already been taken, so it’s already behind us. So, you would see some ongoing benefit through the rest of the year and that’s fixed cost. We know it, I mean, but there is certainty. Now to your other question about of course, there are inflation trends throughout the world. And I also want to use this as an opportunity, because I think if there has been some confusion outside, whenever we give raw material guidance, we take a forward look, we don’t take spot look and then we look at the raw material. So, whenever we change our raw material guidance in a certain way, it’s changed against our forward-looking perspective. So, yes in our forward-looking perspective, we have already certain inflation baked in. If it would be more, which at this point, you cannot exclude, of course, we would try to further increase the cost actions, but there are certain limits. So, of course – there are certain limits, but we will initiate initial cost actions.
Susan Maklari: Okay, that’s helpful. And then just following up on the inflation I know that you cited steel was a really big factor in the higher or raising that number, but can you give us a little bit of color on what you are seeing in terms of resins and maybe some of your other inputs?
Marc Bitzer: Yes, I can add to this. So, first of all, as most of you know, steel and resins are highest – our biggest raw material inputs and steel had seen a significant climb, even though it’s now reasonably stable, but it’s U.S. steel is right now significantly elevated versus rest of the world and that’s just a reality. And resins have been elevated now pretty much for three quarters and now obviously with oil price at $70 that just puts further pressure, but we don’t see massive new moves on the go forward base, but it’s also outside steel and resins, aluminum is a factor, zinc is a factor, copper is a factor. Now, again, our current assumptions above the rest of the year are baked in our raw material guidance about the forward-looking view. And at this point, that’s our best view on the future.
Operator: We will take our next question from Curtis Nagle of Bank of America.
Curtis Nagle: Great. Thanks very much. Just beginning on the raw material pressure, I guess should we consider or should we I guess expect to consider around 65 to 70 mil a quarter or would you expect to see maybe even price increase in 2Q and then a tail off in the back half of the year?
Marc Bitzer: Curtis, it’s Marc. First of all, we experienced almost $80 million of raw material in Q1, so we had a significant amount of raw material already in Q1. So in a certain way, if you take our full year guidance, we already took a big chunk in Q1 and we were able to mitigate it. Initiated price actions and cost take out actions. So, on a go forward, we should expect to see more benefits from pricing, but on the raw material year-over-year on a quarterly basis will be very similar to maybe a little bit less towards the year end, but the next couple of quarters very similar to Q1.
Curtis Nagle: Okay. That makes sense. And then just I guess could you provide a little more guidance on what you guys are expecting on the interest and sundry line. It looks like that was a positive for the quarter. I don’t think you gave it guidance? And yes, I mean, how much is that factored for the quarter and for the quarter in the going margin expectations for 2018?
Marc Bitzer: So, Curtis, one thing to – there is actually a simple change that goes into there is that the way that you used as we mentioned the credit that we monetized in Latin America, those actually under the accounting rules used to sit on a different line and they now go into there. So, with the amount that I gave you earlier that you can help use that to just normalize what you should expect that line to be, but that’s what the difference would have been.
Curtis Nagle: Okay, thanks very much.
Marc Bitzer: Thanks, Curtis.
Operator: Thank you. We will take our next question from Ken Zener of KeyBanc Capital.
Ken Zener: Good morning, gentlemen.
Marc Bitzer: Good morning, Ken.
Ken Zener: Can you guys talk to the shift down in sales guidance and the margin? So, my first question is, is the sales split equally between Europe and the U.S. given the margin impact of 7.5% seems to be an average of the region? And then my second question is to the extent the sales is coming down the U.S. Can you talk about the decision to forgo sales to protective margin given what seems to be the strength in your portfolio? Thank you.
Jim Peters: So, Ken, I will start off and then I will have Marc kind of add some commentary here. As we look across at the kind of the reduction in revenue outlook globally and look across the globe, I would say that it’s not heavily weighted significantly more heavily weighted to one region another. Obviously, within EMEA, we do see the volumes lower as we mentioned earlier in the first half of the year, but we do expect to recover some of that in the back half of the year. Additionally within North America what you would saw especially in the U.S., the first quarter from an industry perspective was stronger – was significantly stronger and we still do expect our industry guidance of 2% to 3% for the full year. So, again, we expect that to normalize itself out throughout the year. So, I can’t say that I would skew that either heavily to any specific region at this point in time.
Marc Bitzer: Yes. Ken, the only other comment which I would make in the components of our updated guidance, I think at the end of the day, without getting to the details of numbers, what you got to read into is the strong reconfirmation of what we gave in Q1. We will drive for margin expansion and the cash generation. That’s our number one focus. In particular, after last year where we had a margin drop, our number one focus is margin expansion. We don’t necessarily want to lose market share, but our number one focus is margin expansion.
Ken Zener: Thank you.
Operator: Our next question is from Alvaro Lacayo of Gabelli & Company.
Alvaro Lacayo: Good morning. I just have a question on unit productivity both in North America and in Europe and in – with North America, the question is what kind of an impact that the washer load-ins from competitors have on Q1 and is it over? And then maybe if you could provide unit productivity, excluding the washer business to see what kind of an impact that had in overall in North America? And in Europe just the minus 14 regarding the trader negotiations, was that in line with what you are expecting or was it a little bit more elevated? And then in the back half, is it correct to assume that you expect to grow above the industry growth rates as you recover some of that volume?
Marc Bitzer: Let me try to address both questions. First of all, on North America, on the washers and first of all, I would say as we indicated several times, there was a lot of odd movement when you look at the AHAM industry statistics, because it’s kind of – it’s a sell-in, i.e., included, it’s not necessarily a sell-through. The sell-through over time will follow, but the AHAM is very much a sell-in and it’s as such impacted by shipments of us and certain competitors and certain trade moves in there in terms of how much trade inventory is being carried. With that in mind and we hinted towards this one already in January, but we didn’t yet have the data. The stockpiling by LG and Samsung was massive on unprecedented levels even higher than any prior case and has dramatically dropped off in February. So, it’s kind of – it’s probably the extreme case of stockpiling which we have seen. So as such confirmed what we had – what we predicted, but once you see the data, it’s been very significant. And of course, that has certain impact on AHAM market shares kind of December January on how it all shows up. We expect it will, but we don’t know, but it will take some time until that is kind of being fully sold through in the market, but that is to your point, that has an impact on laundry volumes, laundry market share and has a couple of other movements in there. Having said that, our laundry business has still been sold in Q1, we have a set of good innovations in the markets. We implemented a price increase and we feel confident about it. Now to your second question about Europe, as Jim alluded to there are certain private label volumes which we knew we didn’t want to continue. So, a certain amount of a drop is expected and was actually productive in a certain way, but having said that, there was also something on top and that is just we lost floor spot over the last 1.5 years and it’s just hard to get that back. In addition, we had following the European calendar of trade negotiations, we had a whole set of trade negotiations in particular in Russia, UK and also in other markets where we had to renegotiate certain trade terms which we were not – we felt were not favorable and that dragged on pretty much until March, but we have it resolved now.
Alvaro Lacayo: Got it. And then with the sale of the compressor business, was that included in the original guidance when you guys gave Q4 guidance and I assume whatever operating margin impact is already included now, if it wasn’t in Q4 just want to clarify that?
Jim Peters: And I’d say prior to this, there was no assumption in terms of the sale of Embraco. Additionally, as we have said, the transaction should close closer to the end of this year. And so at this point, it really won’t have a material impact on 2018. Additionally as we have said once we have gone through the tender offer process around the share repurchase that we are doing associated with this. We will come back and update our guidance to reflect any changes to the number of shares we have repurchased.
Marc Bitzer: And just to echo what Jim was saying, we negotiated for our Q1 with a set of multiple bidders, which is also the reason why we did not buyback shares in Q1. We actually signed it last night if by definition we couldn’t include in the prior guidance. So, Jim’s point is of course if there would be a final closure of a transaction somewhere in Q4, which at this point I will consider unlikely you would see a few cents, but you are literally talking about few cents. If it does include in 18, there is no impact on our guidance whatever. So, it’s not – I mean we didn’t include it, but I also want to reiterate, we also did not include the impact of a tender offer what it does in our share count and the EPS guidance.
Operator: This concludes our question-and-answer session. I would like to return the call to Marc Bitzer for closing comments.
Marc Bitzer: Alright. I now like to summarize the key message from this call on Slide 19. We delivered improved EBIT and record ongoing earnings per share in the first quarter and our global price mix and fixed cost initiatives have been successfully implemented and we expect to continue realizing the benefits of those actions throughout the year. We remain committed to returning strong levels of cash to shareholders this year, moved through our increased quarterly dividend and through our increased share repurchases. And finally, consistent with our vision of being the best brand consumer product company in the world, we announced the sale of our Embraco compressor business. This transaction will enable us to fully focus on providing compelling consumer-facing innovation, while returning strong levels of cash to our shareholders. Thank you for joining us today and we look forward to speaking with you again on our second quarter earnings call on July 24.
Operator: This does conclude Whirlpool Corporation’s first quarter 2018 earnings release call. You may now disconnect your lines and everyone have a great day.